Operator: Ladies and gentlemen thank you for standing by. Welcome to GSI Technology’s First Quarter Fiscal 2023 Results Conference Call. [Operator Instructions] Before we begin today’s call, the company has requested that I read the following Safe Harbor statements. The matters discussed in this conference call may include forward-looking statements regarding future events and the future performance of GSI Technology that involve risks and uncertainties that could cause actual results to differ materially from those anticipated. These risks and uncertainties are described in the company’s Form 10-K filed with the Securities and Exchange Commission. Additionally I have also been asked to advise you that this conference call is being recorded today, July 28, 2022 at the request of GSI Technology. Hosting the call today is Lee-Lean Shu, the company’s Chairman, President and Chief Executive Officer. With him are Douglas Schirle, Chief Financial Officer and Didier Lasserre, Vice President of Sales. I would now like to turn the conference over to Mr. Shu. Please go ahead, sir.
Lee-Lean Shu: Good afternoon and thank you for joining us to review our fiscal 2023 first quarter financial results. Our legacy SRAM business with its stable revenue and cash generation continues to fund our APU hardware and software R&D. In the first quarter of fiscal 2023, we delivered a year-over-year increase of 12% in gross profit on modest revenue growth. Our gross margin retention to 60.2% was related to the product mix in the quarter. As a result, we reduced our operating loss from the same quarter a year ago and narrowed our net loss for the first quarter. In the end of the quarter, we have cash, cash equivalents and short-term investments of $41.5 million. The foundation provided by our historical SRAM business supports the next phase of growth at GSI with the APU business. We have further growth opportunities from our Radiation Hardened and Radiation Tolerant SRAM products. We have expected to receive a Radiation Hardened SRAM order from a prime contractor in the June quarter. However, there has been a delay due to a request for additional specification review. We now expect this order to ship in the second quarter of fiscal year 2023. Didier will provide more detail on this announcement in his comments. The team continued to advance APU opportunities on several fronts. We expect to launch Searchium.ai, our SaaS platform to be available for alpha users this quarter to address a growing segment of customers interested in cloud only. The SaaS platform is delivered as a subscription service, the launch of GSI servers with our leaderboard. Searchium.ai accelerates Elasticsearch and OpenSearch workload. This approach provides the economic solution for business scaling to large capacity, including bidding factor datasets without losing accuracy. Searchium.ai also offer fast vector search, providing high-speed, accurate search of large vectorized text, image, video and audio database. The platform uses a simple API integration into a customer’s workflow, enabling rapid deployment and use. The search market is rapidly growing as evidenced by the success and the growth of Elasticsearch.com. Database uses the enhanced search capabilities with real-time log analysis and visualization and support for high-volume queries with the ability to run a meeting and query simultaneously. Working with a 100 or few in big data table, when speed is a crucial and growing need, our SaaS offering can provide increased speed and the scalability without losing accuracy. We are excited about making Searchium.ai generally available to all customers, which is currently scheduled to occur by the end of calendar 2022. In July, we released the first version of the full stack compiler for the APU product called [indiscernible]. This release is a combination of 18 months of effort that created a high efficiency AO python compiler for development of core for host processor, embedded processors and APU processing array. This breakthrough development brings AO python, which provides the familiarity and the programming environment benefit of python with the speed of C to the development of real-time big data AI applications supported by the APU. The [indiscernible] compiler currently supports low level library cost and intermediate development for linear algebra, algorithm acceleration is available to select the other customers and has shifted two external companies as well as being used internally to migrate previous C library within GSI for the APU. GSI will increase application library migration to [indiscernible] over the next quarters. We currently intent to add convolution, [indiscernible], image processing, SAR and the general high-level application core development by mid-calendar 2023. Currently we have numerous early-stage APU projects that are in the initial discussions phase. Several of the large opportunities are with new contacts that arose from our first place win in the MoSAIC challenge. In that challenge, our software performed the fastest and most accurate at various distance and under diverse lighting conditions using image from real-time HD video sourced from [indiscernible]. This capability has many applications in the large global security market. Using our military and defense business context, we are leveraging the exposure this accomplishment has brought to GSI. In addition, one of the MoSAIC Challenge sponsors was the Merage Institute, an organization committee to promote economic growth between Israel and the U.S. One function of the institute is to facilitate business development. And as a result, we have made several valuable new connections and engaging with new companies to discuss the Gemini platform. Another outcome of the MoSAIC Challenge was extended scope of our existing SAR project with Elta/MAFAT. This project is advancing, and we are preparing for the final integrations. The POC with Elta is funding the SAR imaging processor system based on our APU technology. We are currently anticipating shipping 3 APU server with [indiscernible] in the server to Elta by mid-calendar 2023. The NIE funds from Elta are being used to develop an exclusive perpetual lasers of the Fast Track projection algorithm. This agreement with Elta will allow GSI to sell SAR system product containing the algorithm. We intend to pursue the entire SAR market with this product. In fiscal year 2022, we increased customer engagement for the APU and made contact in new market segments. We are in early stage of working with numerous POCs and expect to further our engagement. In fiscal year 2023, we start building the team we need to initiate Gemini outage and manage the process of moving customers through the pipeline from proof of concept to design win and ship products. We have a roadmap for the APU and the next generation of Gemini is on track. The design of Gemini-II has been finalized, and we are at the final present layoff stage. We are on target for taking out a calendar year-end. Gemini-II is a highly integrated product that offers great improvement over Gemini-I. It will improve the speed, performance by 8x plus 8x more internal embedded memory, reduce the cost to quarter on the current level and greatly expand our addressable market. We currently intend having the first [indiscernible] unit for the Gemini-II by calendar Q2 next year. GSI shareholder has been asking for accountability and transparency. I want to assure our shareholders that I understand your frustration and as the largest shareholder, I feel that myself. Many people on my team are also large shareholders, some of whom have worked with me for decades. I have a sense of urgency to deliver on our goals and create a market for the APU that I know is possible. I welcome open dialogue with our shareholders and add value on your input. My intention is to make fiscal year 2023 the turning point for this company by building a meaningful pipeline for the APU and closing new business for our groundbreaking technology. Now I will hand the call over to Didier, who will discuss our business performance further. Please go ahead, Didier.
Didier Lasserre: Thank you, Lee-Lean. Let me start with an update on our Radiation-Hardened or Rad-Hard SRAM business. We shipped 4 prototypes to 3 separate Rad-Hard customers in the last fiscal year. All the customers are currently testing these systems that require chips to withstand harsh conditions. As Lee-Lean mentioned, we expected another Rad-Hard prototype order in the first fiscal quarter. The release of the purchase order from this prime contractor was delayed to this current quarter. We have the parts ready to ship. So once we have the order, the parts will ship. This prototype order could potentially be the same revenue magnitude of all of our radiation hardened orders in the last fiscal year. As a reminder, Rad-Hard is a high-growth profit product for us. And if a few of these prototypes move into production, it could add incrementally to fiscal years 2023 and 2024 revenues. Let me switch now to customer and product breakdowns for the quarter. In the first fiscal, I’m sorry, in the first quarter of fiscal 2023, sales to Nokia were $1.3 million or 14.7% of net revenues compared to $3.8 million or 42% of net revenues in the same period a year ago and $2.0 million or 23.1% of net revenues in the prior quarter. First quarter fiscal 2022 net revenues included orders for buffer stock shipped to Nokia amounting to approximately $1.0 million that were made in anticipation of continued market tightness. Military defense sales were 22.3% of first quarter shipments compared to 20.0% of shipments in the comparable period a year ago and 22.3% of shipments in the prior quarter. SigmaQuad sales were 44.8% of first quarter shipments compared to 63.6% in the first quarter of fiscal 2022 and 47.6% for the previous quarter. Lastly, I want to comment on the current supply chain situation. We currently move the majority of our chip substrate suppliers out of China last year to limit the potential delays by any COVID-related lockdowns in China could cause. We are actively addressing supply chain variances that could potentially impact our order fulfillment, but the situation remains fluid. Overall most of the cost increases from our suppliers were successfully passed on to our customers in December of 2021. We are closely watching costs and evaluating if we need to change prices in the future. GSI and the industry as a whole are constrained by the availability of FPGAs. Since we use FPGAs on our leaderboards, we could potentially be constrained if we receive a large order for an APU platform. So we are still confident that we can fulfill orders that we have in hand and for the upcoming quarters for SRAM customers and are optimistic that we have sufficient capacity to meet this demand. I’d now like to turn the call over to Doug. Go ahead, Doug.
Douglas Schirle: Thank you, Didier. GSI reported a net loss of $4 million or $0.16 per diluted share on net revenues of $8.9 million for the first quarter of fiscal 2023 compared to a net loss of $4.2 million or $0.17 per diluted share, net revenues of $8.8 million in the first quarter of fiscal 2022 and a net loss of $3 million or $0.12 per diluted share on net revenues of $8.7 million for the fourth quarter of fiscal 2022. Gross margin in the first quarter of fiscal 2023 was 60.2% compared to 54.4% in the prior year quarter and 58.6% in the preceding fourth quarter. Improvement in gross margin was primarily due to changes in product mix sold in the quarter compared to prior periods. Total operating expenses in the first quarter of fiscal 2023 were $9.3 million compared to $9.1 million in the first quarter of fiscal 2022 and $8.1 million in the prior quarter. Research and development expenses were $6.6 million compared to $6.1 million in the prior year period and $6.5 million in the prior year – in the prior quarter. Selling, general and administrative expenses were $2.7 million in the quarter ended June 30, 2022, compared to $3 million for the previous year quarter and $1.5 million in the previous quarter. First quarter fiscal 2023 operating loss was $3.9 million compared to $4.4 million in the prior year period and $2.9 million in the prior quarter. First quarter fiscal 2023 net loss included interest and other expense of $26,000 and a tax provision of $60,000 compared to interest and other expense of $20,000 and a tax benefit of $172,000 in the prior year. In the preceding fourth quarter, net loss included interest and other expense of $47,000 and a tax provision of $21,000. Total first quarter pre-tax stock-based compensation expense was $638,000 compared to $823,000 in the comparable quarter a year ago and $714,000 in the prior quarter. At June 30, 2022, the company had $41.5 million in cash, cash equivalents and short-term investments and $875,000 in long-term investments compared to $44 million in cash, cash equivalents and short-term investments and $3.3 million in long-term investments at March 31, 2022. Working capital was $44.8 million as of June 30, 2022, compared to $45.8 million at March 31, 2022, with no debt. As of June 30, 2022, stockholders’ equity was $61.3 million compared to $64.5 million as of the fiscal year ended March 31, 2022. Our current expectations for the second fiscal quarter are net revenues in the range of $8.5 million to $9.5 million with gross margin of approximately 61% to 63%. We maintained an attractive balance sheet with a surplus of cash and no debt. Operator, at this point, we will open the call to Q&A.
Operator: [Operator Instructions] Our first question is from [indiscernible]. Please proceed with your question.
Unidentified Analyst: Hi, thanks for taking my call. I’ve got some questions about the transition of Gemini-1 in Slide 2. I’m wondering if there will be any inefficiencies there with the software retention or, yes, software retention for Gemini-I? So yes, you all currently have been reporting on building the software foundation for that. Will that have to be heated for Gemini-2 and any hardware applications, will servers have to be replaced from – for the customers that currently have concept service or the one that you’re going to be seeing between now and Gemini-2?
Lee-Lean Shu: Yes, we need to migrate the software, the library from Gemini-1 to Gemini-2. But good thing is that we already have a learning curve. So as we – I anticipate we will be much smoother making the software migration from the 1 to 2.
Unidentified Analyst: So you’d be using similar templates to be able to retain some of the integral code there?
Lee-Lean Shu: Well, I think that the learning curve will be there. But I think the detailed implementation because the circuit is different. So it will be a strong implementation need to be done to fully utilize the Gemini-2.
Unidentified Analyst: Okay. Yes, I really appreciate the transparency you mentioned in the call about your outlook and development updates. I certainly appreciate it, and I see that you’ve got a lot of traction. So yes, we share your reason that these exciting developments or at least I can say that and other shareholders are definitely interested. So have you thought about releasing a roadmap for the Gemini project, so to post on your website publicly?
Lee-Lean Shu: Are you talking about Gemini-2?
Unidentified Analyst: Yes, comprehensively the overall Gemini project.
Lee-Lean Shu: Yes. I guess we don’t have it at this moment. We probably can look into it.
Unidentified Analyst: Okay. Conveniently producible. I think that would be nice for networking purposes. Yes. So the Gemini-1, you mentioned that the production might have limitations, the overall capacity to produce those FPGAs. What kind of scalability you do have for this initial alpha customer base for the Elasticsearch? And do you imagine being saturated with that or will you open up to the public, you’ll be able to bring up larger customers? And I’m not sure exactly looks like they are thinking about organizations Snowflake or even database providers have proprietary processing like rack space or MBV, how companies are using sales of products would be able to – what are they able to access from your first launch?
Douglas Schirle: So let me answer the beginning of that question. So we have already some servers installed in our Sunnyvale facility, our Israeli facility and also a third-party CoreSite, which is the CoreSite location was installed for the upcoming OpenSearch engagement that we have, and it can also be used for Elasticsearch. So those have – that hardware has already been installed. We have additional hardware in-house, along with the raw components, the raw components being FPGAs to build up a certain amount. We have certainly FPGAs on order. It’s just – I guess the comment in the script was that we don’t have unlimited material on hand at this point. I mean, we do have to deal with the same lead time issues that everybody else in the market space buying these parts. So we certainly have enough for alpha, beta customers for sure and even adding more to our data centers. It’s just in case something very large were to break, it would – we would certainly have some lead time issues supplying that hardware. That’s really what the comment was for.
Unidentified Analyst: Okay. And do you have any information about what the model will be for revenue for that Elasticsearch that the initial searching and rollout? Will that be subscription or a-la-carte?
Douglas Schirle: Yes, we are still working on that. So we haven’t released any revenue forecast at this point.
Unidentified Analyst: Okay. My last question is about the CHIPS Act, actually, and then I have one other kind of clarification. But the CHIPS Act that’s moving through Congress right now, you all anticipate the benefit from any of that, maybe the development incentives or development?
Lee-Lean Shu: Yes. I think we don’t see the direct benefit. But overall, it will be more funding to the industry and more funding to the government projects. And we are actively looking for SCIR. So indirectly I think we definitely will be benefit of it. Did that answer your question?
Unidentified Analyst: Yes, certainly. Kind of influenced more the demand side than your overall supply side, okay. And then I was wondering, I didn’t catch the name of Israel U.S. collaboration organization based – helping to facilitate some of your [indiscernible]
Lee-Lean Shu: I’m sorry, can you repeat that? You’re cutting out. It’s hard for us to understand.
Unidentified Analyst: Yes. I apologies. Yes, it was mentioned that there is an Israel collaboration facilitation organization you all are working with and I didn’t catch the name of it?
Douglas Schirle: Yes, it’s Merage Institute. So the last challenge that we participated in, the MoSAIC challenge was sponsored by a few entities, DoD being one, MAFAT another and then the Merage Institute. And so the Merage Institute because of our win in that, the VP of the division of our APU out of Israel was invited to a 2-week seminar with other Merage Institute members and opened up access to a lot of very high-level meetings with very influential customers that could be using APU. And so it’s certainly early in that process because that Merage competition was just this year, but we’ve already seen some movement on potential POCs based off of that Merage Institute relationship we have.
Unidentified Analyst: Excellent. Yes, it’s great to see you all retaining those relationships. I asked all my questions. I really appreciate you all. Congratulations on the development.
Douglas Schirle: Thanks, Luke.
Operator: [Operator Instructions] It appears that there are no more questions at this time. I would like to now turn the call back over to Mr. Shu for closing remarks.
Lee-Lean Shu: Thank you all for joining us. We look forward to speaking with you again when we report our second quarter fiscal 2023 results. Thank you.
Operator: This concludes today’s conference. You may disconnect your lines at this time. Thank you for your participation.